Operator: Good morning, ladies and gentlemen, and welcome to Beacon Roofing Supply's Fiscal Year 2012 First Quarter Conference Call. My name is James, and I will be your coordinator for today. [Operator Instructions] As a reminder, this conference is being recorded for replay purposes. On this call, Beacon Roofing Supply may make forward-looking statements, including statements about its plans and objectives and future economic performance. Forward-looking statements are subject to a number of risks and uncertainties. Actual results may differ materially from those indicated by such forward-looking statements as a result of various important factors including, but not limited to, those set forth in the Risk Factors section of the company's latest Form 10-K. The company has posted a summary financial slide presentation on the Investor section of its website, under Events and Presentations that will be referenced during management's review of the financial results. 
 On the call today for Beacon Roofing Supply will be Mr. Paul Isabella, President and CEO; and Mr. David Grace, Executive Vice President and Chief Financial Officer. I will now turn -- I would now like to turn the call over to Mr. Paul Isabella, President and CEO. Please proceed, Mr. Isabella. 
Paul Isabella: Good morning, and welcome to our fiscal year 2012 first quarter earnings call. We started the year off nicely by delivering a strong performance in the quarter fueled by strong sales growth, improved gross margins, and by leveraging our fixed costs. Our entire team did an excellent job of driving these strong financial results, while staying focused on our core mission of providing superior customer service. 
 Our EPS results of $0.41 for the quarter beat our internal plan and far exceeded last year's $0.22, which has been the case for the last 3 quarters. David will go through the details of our financial results in a few moments. As is the case in Q4 of 2011, our 2 largest product groups, Residential and Commercial Roofing continued to deliver double-digit growth in the quarter, as both re-roofing and storm damage demand were strong and industry-wide price increases had a positive impact. Also, the milder weather this year compared to last year in many regions helped generate demand for the first quarter, and that effect has continued into January and early February. Our Commercial business has now shown double-digit growth over the last 7 quarters. While Residential delivered its third consecutive double-digit quarterly growth, over 25% in the current quarter. 
 As you can see in our slides, all of our geographic regions showed great growth in the quarter, which is very encouraging, especially given that some did not have any storm demand. There continued to be fairly strong demand from storm damage in the Southeast and Midwest, but this storm demand will decrease over the next few quarters. It's difficult for us to evaluate the impact of the storm re-roofing this quarter due to the milder winter and overall re-roofing strength. We're working hard and we have plans in place to offset the higher storm comparisons we'll be up against in Q3 and Q4 in case there are no storms this year. 
 Overall pricing was up 8% year-over-year, and I plan on giving some more details on pricing later. Our gross margins in the quarter were up, ending at 24%, this is more in-line with our historic levels for our current product mix. The continued strong demand both for storm, re-roofing and overall re-roofing and the higher mix of shingles in our sales drove the increase. We continue to believe our gross margins will be in the stated range of 22.5% to 24%. 
 Cash flow generated was strong for the quarter, even after the impact of paying for Fowler & Peth in Denver, and the roofing connection in Halifax, Nova Scotia. David will give some more details during his portion. During the quarter, we continued our integration work with our most recent acquisitions, migrating them to our IT system and continuing the ongoing work of transferring best practices. And our acquisition pipeline is very full, and we're confident we'll continue to purchase quality companies. 
 In terms of operating margin, we had a very solid quarter, delivering 7.3% versus last year's 4.9%. It's also worth noting that our costs, as a percent of sales, were at 16.6% versus last year's 18.5%. I'm very proud of what our teams have done serving the additional volume we enjoyed. As we've said, doing more with less is the Beacon way. For the full year, we see earnings continuing to be strong and within the analysts' range. We believe we can have another record year fueled by organic branch and acquisition growth, and having another normal storm year could add to our results. And as always, we'll continue to focus on our core initiatives: providing excellent customer service to our contractor customers; sales growth, both organic and acquisitive; and operational excellence as we begin the next quarter. 
 Now I'd like to turn the call over to our CFO, David Grace, who will go over some of the detailed financials. After David is finished, I'd like to give some additional information on sales, pricing and EPS trending before we open up the call for questions. David? 
David Grace: Thanks, Paul. When I refer to 2012 in my discussion, I am referring to this year's first quarter of our fiscal year ended September of 2012, while 2011 refers to last year's first quarter. And when I refer to our regions, I am referring to our geographic regions as presented in our 10-Q. 
 If you're using our slides to follow along, let's begin with Slide 1. Our fiscal 2012 first quarter organic sales, which reflect our existing markets by excluding sales at branches acquired since the beginning of last year's first quarter, increased 17.0% to $473.7 million. We had only 60 days in 2012 compared to 62 days in 2011. So on a same business days comparison, organic growth was 20.9%. 
 Total sales for this quarter, which isn't shown in the slides, increased 21% to $489.9 million from $404.8 million in 2011. In our existing markets lines of business, Residential Roofing sales increased 25.4%, and Non-residential Roofing increased 15.5%. Our first quarter roofing sales this year were favorably impacted by higher industry-wide selling prices and strong Residential Roofing business in most markets, including some continued re-roofing activity leftover from last year's storms. We really cannot evaluate the impact of the storm re-roofing this quarter due to the milder winter. Some regions outside of the storm areas had higher growth than those in the storm areas. Non-residential Roofing sales growth continued strong, further helped this quarter by year-over-year price increases. 
 Complementary Products declined 2.6% in existing markets, but were flat on a same business days sales basis. And as you can see on the slide, all of our regions had organic growth for the quarter, with double-digit sales increases in every region, but in the Southwest and Canada, which both had single-digit increases. We estimate inflation in our net product cost based upon our current inventory product mix and invoice cost, net of short-term buying programs, compared to similar costs of the same products a year ago. Based upon this estimate, our overall net product costs were up about 8% as compared to December 2010 levels. Residential Roofing costs were up 8%, Complementary Products were up around 5%, while Non-residential Roofing products were up about 10%. 
 We operated a total of 192 branches as of the end of this quarter compared to 177 last year. We acquired 9 branches and closed 2 in this quarter, while we closed 2 branches during last year's first quarter. Total gross profit was $117.3 million compared to $94.8 million in 2011, a 23.7% increase. Existing market gross margin increased to 23.9% from 23.4% in 2011. We had a higher concentration of residential sales, which typically have higher gross margins, along with higher average selling prices and increased demand in most markets, all of which helped us to keep this year's first quarter gross margin rate to a more seasonally normal rate. Existing market operating expenses, which is Slide 2, increased by $3.9 million or 5.2% to $78.9 million from $75.0 million in 2011. Acquired market operating expenses were $4.1 million, including a $1.0 million favorable adjustment of our estimated earnout liability associated with the prior year purchase of Enercon, which is discussed further in our 10-Q. 
 In existing markets, payroll and related costs included incentive base pay, overtime and profit-sharing increased $2.8 million in our existing markets, mainly due to gross profit and operating income exceeding expectations and to service the increased sales. Selling expenses increased $0.9 million, mainly due to increased fuel cost and higher outsourced transportation cost. We also had other expense increases of about $1.6 million, primarily from increased professional fees, increased general liability insurance and traveling and entertainment, although bad debts were down $0.4 million. 
 Depreciation and amortization decreased $0.9 million due to a drop-off in amortization related to purchase accounting and lower depreciation due to low capital expenditures in more past years. Operating expenses as a percentage of net sales dropped to 16.9% overall and 16.6% in our existing markets, due primarily to the favorable impact from the higher sales, partially offset by the expenses -- expense increases just mentioned. 
 Interest expense was down $0.2 million year-over-year to $3.3 million due to the slightly lower debt levels. Income tax expense was $11.9 million in 2012, reflecting an effective rate of 38.5% compared to 38.6% in 2011. Both quarters' tax provisions reflect benefits from discrete items, as our normal income tax rate is approximately 39% to 39.5%. 
 As a result of all I've mentioned, our net income was $19.1 million for the quarter compared to $10.1 million in 2011. Our diluted net income per share increased by 86% to $0.41 from $0.22 in 2011. Excluding the adjustment for purchase accounting on the earnout, net income would've been $18.1 million and diluted earnings per share of $0.39 this year as presented in Slide 3. Our earnings before interest, taxes, depreciation and amortization and stock-based compensation, our adjusted EBITDA, which is reconciled through our GAAP net income in our press release was $41.1 million for 2012 as compared to $27.7 million in 2011. 
 As Slide #4 shows, cash flow from operations was $59 million in 2012 as compared to $57.5 million in 2011. The higher cash flow from operations was principally due to year-over-year increase in operating income, offset somewhat by an increase in working capital. Favorable increases in accounts receivable and inventory were offset by unfavorable decreases in accounts payable and accrued expenses, along with an unfavorable increase in prepaid expenses and other assets. Our day sales outstanding and accounts receivable were down slightly, mainly due to a higher residential sales mix in December compared to last year. Inventory turns were relatively flat year-over-year as the impact of this year's higher level of inventory was offset by the effect of the equally higher sales. 
 Capital expenditures in 2012 were $2.4 million, compared to $0.9 million in 2011. Cash used for acquisitions was $46.6 million in 2012. Net cash used by financing activities was $0.7 million in 2012 compared to our cash provided of $0.8 million in 2011. 
 To summarize a few key points from my presentation, organic sales were up 17% for the quarter, with organic gross margins at 23.9% compared to 23.4% in 2011. Organic operating expenses, as a percentage of sales, were down to 16.6% from 18.5% in 2011. Diluted net income per share, excluding the adjustment of purchase accounting, increased 77% to $0.39 from $0.22. 
 2012 has started out strong. Business is good in most of our markets, and we generated cash flow of $12 million in the first quarter, despite spending 46 -- $44 million on acquisitions. While the mild weather has helped and, as expected we benefited from year-over-year price increases, it was great execution by our team to obtain these results. And we continue to have a strong balance sheet, which forms a solid foundation for future growth and for building value for our investors. And now Paul would like to add a few comments before we open up the call for questions. Paul? 
Paul Isabella: Thanks, David. And as you can see, very, very solid results, which we're very pleased with. I wanted to talk about 3 topics. There'll be some repeats in here, but I think it's worth reemphasizing: sales, pricing and EPS trending. So I'll start right out with sales. And, again, as we said, with this year's much milder winter so far, it is difficult to determine if the upswing in activity is pull-forward of activity scheduled for the spring or an indication of increased overall demand in our markets. We're more, though, inclined to believe some of the growth is from the latter, given the very strong performance of our regions not impacted by the storms, and you can see that in the slides that we sent out. 
 We knew going into fiscal 2012, that due to last year's tough winter and year-over-year price increases, combined with the storm volume carryover, we would see our strongest growth, no doubt, in Q1 and Q2. We also knew that we needed to make up for some of last year's storm damage demand in Q3 and Q4, especially if there are no storms this year. We're still comfortable with our full year guidance of 5% to 10% growth over 2011, exclusive of our recent Q1 acquisitions. Our team is working very hard to execute the business plan, which aims to make up for the tougher sales comps coming up in Q3 and Q4. 
 As I've said, trends in non-storm regions are very encouraging, as a number have seen double-digit growth. We see this as a positive sign that re-roofing is strong and hopefully will continue for the rest of the year. So in summary, we're very pleased with the sales growth we had in Q1, and we believe it could be a sign of better economic atmosphere for the remainder of the year. We do know that some sales have been pull-forward in Q1 and the beginning of Q2 as a result of the better weather, but that means for spring volume is hard to predict. We do think that better demand in general could offset some pull-forward that might have occurred. 
 Now I'll talk a little bit about trends in pricing within our industry. Residential shingles continue to see an up and slightly down at times pricing cycle. Last year, we saw 2 announced price increases in the spring, which took hold amongst a background of increased storm business, and 2 more announced price increases at the beginning and end of the summer, both of which seemed to fizzle out. As a result, we ended the calendar year with prices up about 8% year-over-year on resi products, but with expected discounting coming over the winter months. In our industry, we typically expect prices to fall back some during this winter period, and then if the demand is there, we think we'll see more  announced price increases. Already, Owens Corning has announced the March 1 price increase of 7% to 9%. In the non-res markets, 2011 was the first year in a long time that prices went up and stayed up. 
 As we entered the calendar year with prices up a healthy 10%, as Dave mentioned, this market is tough at times to track pricing changes or predict future changes as much of the projects are sold through bids for specific work and cannot be compared easily. We think pricing may react much like 2011 and 2012, as we have already seen some planned increases effective April 1 due to raw material pressure on our manufacturers. Our Complementary Products saw some small price gains in 2011, but they still need demand to increase to have some needed price increases take hold. All of these changes position us well for fiscal 2012, as demonstrated by the positive impact of the price increases in Q1, and we expect the advantage will remain for non-residential and Complementary Products through Q3, and the residential products' prices will begin to flatten early in Q3, unless these further price increases take hold. As stated though, there seems to be stronger pressure on the manufacturers from increasing raw material costs, as well as transportation costs. 
 Now I'll make a few comments about EPS. As we have mentioned, Q1 was above our expectation in sales and gross margins, and our team did a fantastic job of leveraging our operating costs to provide a robust $0.41 of EPS for the quarter. We're off to a good start in Q2, as January was up double digits compared to last year, as we head into the tougher year-over-year comparisons for the last half of the year. We are however expecting a better base demand outside of storms, as we have alluded to, and we're still comfortable with the analysts' average estimate of $1.36, which is an 18% increase over last year. And we could see upside to this estimate if we see normal yearly storm activity in our markets, or if we see an increased economic recovery. As always, we run the business based on our current sales volume generated. If the stronger sales volume continues, we expect to see the strong cost and EPS leverage we demonstrated in Q1. As you can imagine, it's always difficult for us to make earnings estimates based on a projection of storms or economic recovery. We do, though, have the sense, as we have said a number of times on this call, that overall demand is stronger, and, of course, aided somewhat by better weather. And now I'd like to open up the call to any questions you might have. 
Operator: [Operator Instructions] And we'll take our first question from David Manthey with Robert W. Baird. 
David Manthey: First question in terms of what you said in your monologue there, Paul, you had mentioned that you had some plans to offset the tougher comps in the third and fourth quarter if there are no storms. And I heard you talk about the underlying economy and the potential for price increases and normal storm activity, et cetera, but anything company-specific that you're doing, initiatives that would -- to offset those tougher comps as we get to the back half of the year? 
Paul Isabella: Yes, Dave, it's a good question, and it's obviously been on our minds since storms hit last year to make sure we're prepared. And I think our entire operating system is geared towards that. We have a model, as you know, where every branch is a P&L, so as we built our budget, we took into account their comps, branch-by-branch, and built that plan in. So as they -- specific actions would be prospecting for new customers, mixing up, changing lines of business, additions, things like that. I think the other important thing to note, and we talked about it on our last call, is we estimated as best we could that the storm impacted around 20 branches last year. So if you -- we have to face the reality that a number of those 20 branches won't see the same levels. That gives us 160-plus to deal with in terms of organic growth, et cetera, to make up for some of that change. And that all, mixed together with pricing, with some better economic news, a little better, milder winter, which has given us a good running start in Q1, I think, gives us the confidence that we can make up the comps in the back half. 
David Manthey: Okay. And just in broad strokes as you're thinking about the overall economy, what is your outlook for new construction, if you can address both residential and non-residential? And is that part of what you're seeing in terms of the better economic backdrop as you referred to here? 
Paul Isabella: I'll take a stab at -- first, then Dave can follow up. I mean, our assumptions are virtually no change as we build our plan, because, I mean, there's been predictions over the last 3 years that new construction, whether it's resi or commercial, is going to increase to x, whether it was in the 600s or high-500s or 700s. I'm even seeing at some numbers now that are in that range. We just -- we don't build that into our plan to say, hey, we're going to see 20% more new construction. We are certainly aggressive with it in the markets where there is activity like in the Mid-Atlantic or in Texas, for instance. But it's just -- it's not something we built in as a big add-er. Dave, you want to? 
David Grace: Yes, I will add something. As far as the non-res goes, it's -- we listen to Carlisle's call, and they track whether the bids come in for new construction or from re-roofing, and they're saying they're seeing an increased bidding process from some new construction. Hopefully, that will be in the areas that we do business with Carlisle, because we don't match up with them 100%, as you know. But that's a good indicator that there may be some, but as Paul mentioned, we're not building that into our process right now, because it's just been so inconsistent. 
Paul Isabella: Yes, and, David, of course, it doesn't mean we ignore it. We're -- as I said, we're aggressive, we look for it, but we also know it's still at their -- much reduced levels. So, yes, in the years -- future, when that building cycle starts to bump up, it's going to benefit us. There's no doubt, even if it's only 15% or historically 20% to 25% of our volume and not much lower, it's going to benefit us. 
Operator: Next we'll hear from Ryan Merkel with William Blair. 
Ryan Merkel: So first, maybe Paul, could you give be a little bit more specific on January? You said up double digits, but typically you give us a number. Is there any chance we can get a more specific number there? 
Paul Isabella: Yes, I mean it's -- January was up above 20%, but we also know we had a very, very rough January last year. As you remember, Ryan, well, weather was extremely difficult. So we're not -- although it's very strong, we also recognize the comp. And it's also one of the smallest months of the quarter, so we don't want people to read into it, that we think it's going to be above 20% for the whole quarter. It could be, if this weather continues. But right now, it's a little difficult to say if it's just that last year was so bad and this year is normal. 
Ryan Merkel: Yes, I can certainly appreciate that, but I recall February last year was pretty rough too. I mean, with the whiteout basically in the Midwest and the Northeast? 
David Grace: No doubt, but again, those are the 2 smallest months of the quarter. 
Ryan Merkel: Okay, fair enough. And then maybe if you comment on gross margin trends thus far in 2Q, or at least, am I right that mix continues to get better in that price yields to continue to push gross margins up year-over-year? 
Paul Isabella: Yes, in looking at it through the 3 groups, you're absolutely right. We went up over 300 basis points in mix towards the residential products, and we continue to state those are much -- highest -- the highest gross margin products we have. But we're also seeing some slight increases in the non-res gross margins. Some of it is the effect of those price increases because we carry some inventory at lower prices that we can sell at the current price of cost, and the Complementary Products, we're about level with last year's gross margins, so most of it is mix. 
Ryan Merkel: Okay. And then lastly, can you just talk about inventory levels in the marketplace currently? Is the channel lean here? And then do you plan to add more inventory or meaningfully more inventories as we head into the selling season? I guess it depends on the price increase? 
Paul Isabella: Yes, it's difficult for us to determine how lean or how full distribution is. I think there's a number of distributors that are in the process of buying inventory, but it's very difficult for us to tell. I mean, this is a typical part of the year where buys are made, and we're continuing our normal pattern of buying for inventory we need to sell. 
David Grace: And we're the only public company who really don't want to give our competitors an idea of what we're up to, so it's a little bit of that, Ryan. 
Operator: Ken Zener with KeyBanc has our next question. 
Kenneth Zener: The gross margin spread, it sounds like it's pretty similar to where it might have been last quarter between res and commercial and the cut, 1100 to 1200 basis points, could you clarify that? 
David Grace: Yes, it's at least that, its -- we've always said it's in the history it was 800 to 1,000, but it's crawled up a little bit, especially in the storm markets where there's not as much pricing pressure as there is service pressure. So we think that it's still around that same 1100 to 1200 spread. It might be a little bit more, but it's not much more. 
Paul Isabella: Yes, I think it's important to note that with that, we -- even with the lower gross margins, just because of the product, we still have very similar operating income expectations on the commercial line as we do with the residential. 
Kenneth Zener: Certainly, I can see that's largely due to the higher dollar cost of absorption of each project. 
David Grace: Correct. 
Kenneth Zener: Now the -- it seems to me the -- if you can help or clarify, SG&A was -- you got obviously a lot of leverage on a percentage basis. Could you kind of -- the $75 million last year for existing versus $78.9 million this year. Given this strong volume, how should we think about SG&A being -- a fixed cost that you offer -- that you're leveraging per your distribution centers? And how might that move, I mean if it's higher utilization because that's -- to me, that was a very -- a lot of leverage there, and I just want to understand how that might play out, I mean, would you be at 70% of your operating leverage before you have to put up the new line of stores or is this really an anomaly? Any help there would be greatly appreciated. 
David Grace: I don't think it's an anomaly. You'll see in most distribution models, that is a very high fixed amount, and we've always said it's 60% to 70% of our costs. You'll see that drop down in Q2, because of that, the variables will shrink. Year-over-year, the difference is mainly payroll. It's $2.8 million of the increase, and that is variable depending on what our budgeted amount was compared to what we actually did, because performance bonuses kick in and that will be a pure variable against our higher sales. That being said, last year, at $75 million, is probably a base year. Traditionally, 2 of the quarters that are more active that's about where we've been. When we do better than that for sales and income, you'll see our payroll kick up and also the cost of doing the business and transfer -- transportation cost and those things will also pick up. 
Kenneth Zener: Okay. And then I know you commented on the generally [indiscernible] pricing, which we really didn't see in the December quarter so much. But in the -- if one looks back historically, you might be at that kind of 2% to 4% seasonal deflations. Is there any reason we shouldn't expect that normal seasonal deflation before a potential mix? I mean, I think, Paul, you said third quarter pricing would be probably flat. In res, were you talking about just kind of stabilizing sequentially? 
David Grace: This is David, and what we were talking about is that, typically during the winter period, the manufacturers because, obviously, it's slower and we're not shipping as much and they want to keep their plants running, offer discounts for us to buy more inventory at this time of the year. Going forward, we're not sure if the price increases that have been announced for Q1 of the calendar year will take place. But if they don't, and I think this is Paul's point, it will start to flatten out in Q4 as we go through all the price changes that went through last year. 
Paul Isabella: Yes, it's really just the function of us hitting those price increases from last year when they first took off. But again, if the OC number holds, let's say, and/or GAF or whoever, also announces because they're feeling raw material pressure, demand is solid, strong, then that could -- mean prices will increase again throughout the spring, summer, et cetera. 
David Grace: But we'll just have to wait because it's very difficult, obviously, for us to predict that. We'll just have to wait and see what occurs. 
Operator: We'll move on to Jack Kasprzak with BBT (sic) [BB&T]. 
John Kasprzak: With regard to that price increase, the Owens Cornings' 7% to 9% you mentioned, are other suppliers out yet with similar price increase? 
Paul Isabella: No, not -- I haven't seen any on the residential side. Late January, Firestone -- on the non-res side, Firestone and Carlisle announced increases for both insulation and sheet products, as I said, to take effect in April because they are seeing some pretty heavy raw material pressure. But nothing yet on the residential side. 
John Kasprzak: Okay and -- I'm sorry. On residential, you mentioned in 2011 some of the back and forth on pricing and kind of response to the storm activity, in part, I guess. But if the underlying markets are looking a little bit better in 2012, that's a dynamic, maybe, we haven't seen in roofing in 3 or 4 years. I mean, would that alone be enough to push another price increase, do you think? 
Paul Isabella: It could very well. I mean, again, it's difficult as we look at one quarter and we throw a lot of factors into the soup with the milder weather, the pull-forward, but the fact -- and storms -- but the fact remains, I mean, we've seen for instance, New England with some very big increases at geography year-over-year without storms. There might be a little bit of weather and pull-forward for sure, but it just -- it bodes well, given the size of the increase and makes us confident -- more confident than we normally would be about the future. 
David Grace: And remember, they've got -- the manufacturers pushed through price increases when the economy was actually going backwards, so I assume when the economy takes off a little bit, that the price increases will continue because the cost of oil will go up. And that's what asphalt's made from. 
Paul Isabella: That's what'll drive them as I see more pressure on raw and/or transportation costs. 
John Kasprzak: And on that question of the underlying markets or the underlying demand x storms, and I appreciate the point of sales being up in markets where there really wasn't storm damage and that gives us confidence. In addition to that, I mean, what are the guys in your branches telling you? I mean, are they calling back, going, it's finally happening, we've been waiting for this, or are they really surprised? Because underlying roofing demand's been down 4 or so years in a row. What's kind of the feedback out in the field? 
Paul Isabella: Yes, I don't think there's anything definitive that folks are saying, hey, it's about time things have changed. They're extremely happy with the volume, so as I said, we're more optimistic. But we also know there are seasonal changes that occur, whether it's weather, whether it's the economy, whether it's pull-forward. I mean, we stick to our business plan of number one, trying to have the best customer service we possibly can have, trying to prospect new customers, trying to open up new accounts. That activity goes on, and it's going on here for years. So there's, overall, just more optimism in the field about what they're seeing in general. 
Operator: Sam Darkatsh with Raymond James has our next question. 
Sam Darkatsh: Most of my questions have been asked. Just a couple of little housekeeping numbers. You mentioned the 7% to 9% increase from Owens. What was the approximate increase from Firestone and Carlisle on the non-resi side? 
Paul Isabella: Yes, it was around 5%, 6%. Kind of off their range, I don't have their letter in front of me, but it was [indiscernible] happen and it was different by products. 
Sam Darkatsh: Right. And you've also mentioned, Paul, I believe $120 million to $200 million worth of potential or anticipated acquisition sales for this year. Is that still -- you've mentioned the pipeline is full, but is that still a good target for us, at least, informally, to think about? 
Paul Isabella: Yes, that's pretty close. I mean, Enercon was about a $50 million business. We bought that in May last year, and then, F&P was $60 million so. So it's going to be in that range. 
Sam Darkatsh: And the fact that you had the earnout reserve benefits suggest that Enercon, perhaps, is not hitting targets. Is there something specific to that business that might yield to those types of results? 
Paul Isabella: Well, I think, one, they've had -- as you can imagine, their location there. They've had a very tough winter, I think it's worse than normal. And the market up there, it softened a bit. But our earnout numbers were aggressive as they should be, and that's what we base the earnout on. So as they come off, it changes the math with the earnout. But they're still an extremely strong company. They have good gross margins, they have a good market position. So, no, there's nothing inherently wrong with Enercon. That's not going to correct itself as we go through time anyways. 
Sam Darkatsh: So specifically, it's a regional aspect, regional impacts that were affecting it? 
David Grace: Yes, and the way the calculation done, it's obviously, purely on how they perform. And like Paul said, that was a stretch goal for them, it was higher than what they were operating at the time we bought them for, because they've got -- the value of the company was higher and hence, we had an earnout with them. But their performance is as expected, so far, for this year. It's just not up to that level that they can make that earnout at this point in time. 
Paul Isabella: Yes, so we're not concerned at all about that performance level. As -- we treat it like we do every other region. We want them to be the best they can be. 
Sam Darkatsh: Last question, if I might. You mentioned that their quarterly results beat your internal expectations, to the extent that you'd like to quantify with us, could you give us a sense of by how much? 
Paul Isabella: Yes, we typically wouldn't talk about our internal budget or targets. I don't think it'd be appropriate. 
Operator: [Operator Instructions] We'll now hear from Michael Rehaut with JPMorgan. 
Michael Rehaut: First question on -- looking at the 5% to 10%, I believe, you said organic growth guidance for the full year, rough math, I think it does imply kind of a flattish comp in the back half of the year, and obviously, you guys are pointing to the tough comps that you will be facing starting in the third quarter. Is that right, and the initiatives that you're trying to put in place or some of the prospecting, et cetera, is that just to try and get it to flat? Or do you think that with some of the initiatives might -- bearing fruit, you might still be able to eke out some top line growth because of that? 
David Grace: I think it's twofold, even threefold, Mike. It's the fact that in our initial budgeting process, we had some slight increases for those quarters. It wasn't -- it was as high as Q1 and Q2 as we've said in the past. And as we sit today, we're probably just a little bit cautious because there may be some pull-forward into Q1 and Q2. But if we see some price increases, to pick up and take hold, and also the economy take off, and then maybe have a little bit of the some storm business that we just don't have in our budget, you could see us perform very well and have some upside potential on those last 2 quarters, even. 
Paul Isabella: Yes, and that's -- Mike, that's why I emphasized a number of times that it's just very hard for us to predict. And it wouldn't be -- I don't think it'd be right for us to go out and try to peg a higher number when we -- there's a number of variables. But we still are sticking with our fundamentals, which we do very well in terms of customer service, sales growth, et cetera. 
Michael Rehaut: Fair enough. I -- again, just trying to get a sense of numerically or rate-wise what that was implying. So second question on the margins, you did have a nice improvement year-over-year and something that -- finally, I guess, you got back to a 24%-type rate that you saw in 1Q '10 and in prior years as well, I mean, is that type of -- do you expect that the positive mix to continue to benefit you on a year-over-year basis to that degree, 60 bps up year-over-year. I mean the positive mix shift, is that something that we can count on? 
David Grace: It's a little difficult to say. The storm business because of the difference between the winter periods, it's hard to tell. Now in the storm markets that we see, it's a lot more residential than it is non-residential. And non-residential has been growing its product set for 7 quarters in a row. You would think eventually that would flatten out, and residential would start to pick up a little bit, and that mix change would happen. And we could hit above 24% if that mix continues to be stronger residentially. I don't think that answers your question specifically, but that's what we think we see for the future. 
Michael Rehaut: I guess last question, if I could sneak one more in. The SG&A, can you just give us a sense, again, remind us what's fixed versus variable? 
David Grace: Yes, as we said, it's about 60% to 70%. We think of the SG&A as purely fixed, and we include people's salaries in that fixed amount, nonperformance bonuses, commissions or overtime or hourly wages. So that's why it's as high as that. And as we've talked in the past, we also think we have some capacity from volume in our branches still, that will help us leverage that in the future as the revenues come back. 
Michael Rehaut: Okay. And just -- I'm sorry, just to clarify, before, you said you could stay over 24%. Is that throughout the year, or more just on an overall annualized over the next year or 2? 
David Grace: It could be for the year if the mix stays up as high as it is. 
Operator: We have time for a couple of more questions. Next, we'll go to Jim Barrett with CL King and Associates. 
James Barrett: Could you comment on the complementary business in terms of how it performed relative to your other key businesses, given the trends you're seeing in the marketplace? 
David Grace: Sure, in our complementary business is heavy in vinyl siding and windows and doors, and we also have a little bit of commercial products and the waterproofing. I think a general trend in those products is that once the tax credit went away last year and it went from $1,500 to $500, that had some stronger business last year than this year. I do not believe it's anything fundamental other than that change that has caused us to be flat for the first quarter. I think as the economy recovers, these are products that are discretionary in nature. And as people maybe are stuck and staying in their homes because of mortgages and things like that, that they'll start spending on their homes. There's almost no remodeling for us at this point in time for those products, so it is dependent on how America start working on their homes. 
Paul Isabella: Yes, and that's key, I think, to remember going forward, that it truly is much more discretionary than the roofing products. And it's a much smaller piece of our overall portfolio, but it's highly dependent on the economy, disposable income, et cetera. 
James Barrett: Okay. And then as a follow-up, are you seeing price increases from those manufacturers in vinyl siding, windows and doors? 
David Grace: Yes, as we said we're up almost 5% for the Q1. I'm not sure what's going to happen in the spring. You hear of like some other residential products, such as gypsum and stuff like that starting to push for pricing, same thing with building insulation. I think a lot of it depends on if the demand comes back. 
Operator: Next we'll go to Neil Frohnapple with Northcoast Research. 
Neil Frohnapple: Can you give us some more color on how the integration of Fowler & Peth is progressing? And are there any opportunities for new store openings in this region at this point? 
Paul Isabella: Yes, the integration -- I'll give you, obviously, as much information as I can. The integration is going extremely well. We have a very solid team in the Midwest with a lot of talent. So our typical process with any acquisition is, we put a number of folks in there to make sure we're transferring all the good practices we have in the rest of the company, and at the same time, take any good practices they have and bring them back to our regions. We did the IT transition in January. So things are going quite well, and they're on plan actually, so we feel really good about it. 
James Barrett: Okay. And then just to clarify, I'm sorry if I missed this, but does the 5% to 10% organic sales increase include any benefit from the announced price increases, or is it just the carryover benefit from last year? 
David Grace: It's just the carryover benefit from last year. We don't try to predict that far out the price increases. 
Paul Isabella: Yes, so we wouldn't have built, as we said earlier, about the storms, we don't build any price increases into our budgeting process that hasn't occurred yet. 
Operator: We have time for one more question that will come from Brent Rakers with Morgan Keegan. 
Brent Rakers: I want to hit, again, upon the trends in shingle pricing. What you're seeing, maybe on a sequential basis, you've talked historically about the seasonality to the business and the discounting that comes on in the December quarter. Could you, maybe, compare and contrast how that discounting worked this year versus how it worked last year? It seemed like last year, it was more in the mid-single digit kind of numbers than it is this year? 
David Grace: I don't think it's that much different. The pricing, as you head into the winter, always comes back a little bit because they discount just as much in calendar Q4 as they would in Q1. Probably we don't buy as much then, we're shrinking our inventories a little bit, but I don't think that the prices to our customers has changed much really, since the middle of the summer. We have gained a little bit of gross margin, but it's mainly because we bought better, and our purchasing department has done a great job to get us better prices. 
Brent Rakers: So -- and then just to clarify how that might impact -- how that might have impacted gross margins in the quarter. So if discounting is going on from the manufacturers at the same level and your demand has extended deeper into the season, does that suggest that inventory profit became part of the gross margin uplift to the quarter? 
David Grace: A little bit. I think that's correct. But it also means we have to turn our inventories more than we did last year, so we got into some of those cheaper prices quicker. 
Brent Rakers: Okay, great. And theoretically, Dave, that same kind of dynamic would still exist, at least, into the early portion of this March quarter as well, right? 
David Grace: Correct, and it always does. I mean, that's -- the secret is that you buy that cheaper material, you're going to turn your inventory to take advantage of it. 
Brent Rakers: Okay, great. And then just last question. You talked about the past acquisitions you've made and the contributions going forward, but I seem to recall last quarter, you guys seem to feel very comfortable with the acquisition environment and seem to be on the road on a couple of transactions. Could you maybe update us on that 2 months down the road now? 
Paul Isabella: There's not much we can say obviously, because they're all confidential discussions. I mean, and so I'll leave that the pipeline is extremely full, we're extremely active. And as we execute these deals, which we think we'll be able to do a couple of them this year, we'll announce those. 
David Grace: And so we're positive. And I think, Brent, to be honest with you, times are getting a little bit better, and I think you're going to see some activity pickup in the M&A in our industry, and we're going to participate as we always have in the past. 
Operator: That concludes the questions. Now I would like to turn the call back over to Mr. Isabella for his closing comments. 
Paul Isabella: Great. Thanks. Let me just go through a couple of highlights that we talked about today. Adjusted EPS for the quarter ended at $0.41 versus $0.22 last year for a increase of 86%. Gross margins were strong, overall, and they get 24% for the quarter, up 60 basis points versus last year, and at the higher end of our stated range. Price had a positive impact in the quarter of approximately 8%. We believe these price gains will carry through, at least, the next 2 quarters. And residential and commercial growth for the quarter was strong, coming in at 25% and 15%, respectively. As Dave said, cash remains very strong at $155 million, including paying for Fowler & Peth and The Roofing Connection in Nova Scotia during the quarter. And as I've just said, our acquisition pipeline is very full, and we're confident we'll continue to purchase quality companies. And we're confident we can achieve the current analyst estimates of $1.36 for the year with the potential upside at their -- our weather events and our markets. So we're off to a good start in 2012, and we're working hard to continue this execution in Q2 and beyond. As always, I'd like to thank the employees of Beacon and the support of our investor base. We're working very hard to execute our business plan. Thank you for your interest in our company, and David and I are available for any other questions you might have in our Peabody office. Thank you, and this concludes the call. 
Operator: That does conclude today's conference. Thank you for your participation.